Operator: Thank you, and welcome to Betterware’s Second Quarter Fiscal 2023 Earnings Conference Call. With me on the call today are Betterware's Executive Chairman, Luis Campos; Betterware's Chief Executive Officer, Andres Campos; Betterware's Chief Transformational Officer, Santiago Campos; and Corporate Chief Financial Officer, Alejandro Ulloa. Before we get started, I would like to remind you that this call will include forward-looking statements, which are subject to various risks and uncertainties that could cause actual results to differ materially from expectations. Any such statement should be considered in conjunction with the cautionary statements and the safe harbor statement in the earnings release and risk factors discussed in reports filed with the SEC. Betterware assumes no obligation to update any of these forward-looking statements or information. A reconciliation and other information regarding non-GAAP financial measures discussed on the call can be found in the earnings release issued yesterday as well as in the Investors section of the company's website. Now I would like to turn the call over to the company's Executive Chairman, Luis Campos.
Luis Campos: Thank you, operator. Good morning everyone, and thank you for joining us today. I would like to begin my remarks by providing an update on our second quarter and year-to-date results for our consolidated operations. Then I will disclose additional details on JAFRA, both in Mexico and in the U.S., the progress we have made in terms of revenue growth and increasing profitability, and the plans we have for the second half of the year and going forward. Following this, Andres will disclose Betterware’s operating results for the quarter and the first half of 2023 and provide an update on the key strategies we have for the second half of the year. Then Santiago Campos, our new Chief Transformational Officer, will explain his new role in the company and its relevance for our Group's perspectives and future growth. And finally, Alejandro, our Corporate CFO will discuss our quarterly and year-to-date consolidated financial results, our expectations for the full year and our capital allocation strategy and our expected dividend payments going forward. During the second quarter of 2023, we advance our business strategy seeing very positive results in Betterware and JAFRA and overall generated results in line with our expectations. We are proud of the progress attained during first half 2023, which reinforces our belief that our company is in an ideal position to capture growth and add value for our stakeholders. During first half 2023, we focus on strengthening our balance sheet by reducing our leverage and improving our debt profile. Going forward, our debt cost has decreased and we have eased the strain on cash flow by postponing principal payments due in 2025 and 2026. Alejandro will comment on this further shortly. At Betterware, we have achieved two consecutive quarters with quarter-on-quarter top line growth, showing clear signs of stabilization and recovery of our key business metrics. Profitability has expanded significantly, reflecting efficient cost and expense control. At JAFRA, we continue making great progress, well ahead of our initial expectations towards increasing its profitability, and reaccelerating its growth in Mexico. We are accomplishing this as we leverage Betterware’s three business pillars of product innovation, business intelligence, and technology. Delving into this further, at JAFRA Mexico, the company continues to exceed the expectations set when we made the acquisition both commercially and financially. During this period, management has been focused on increasing our leaders and consultants base to boost top line growth for the company, coupled with increased focus on product innovation and financial discipline to increase profitability. During the first half of the year, we have positive sales network growth, which experienced double-digit growth in our consultants base when compare to first half 2022 and throughout second half 2023. We'll be even more aggressive in the incorporation, retention and reactivation of the template to close the year with a better base. For background, in September, 2022, some adjustments were implemented to the requirements for leaders to obtain their commissions. We knew that this change would lead to a purification or reduction of the leaders’ base. One of the expected results of these adjustments to the requirements was that leaders would strengthen their groups increasing the average number of consultants with orders each month. In 2023, the average number of consultants with orders in each personal group of each leader was 11.9 as compared to 9.6 in 2022, even better than the pre-pandemic period, which was 10.3. The previous strategy has also caused an increase in the compensation payments for most of the leaders, a favorable effect that strengthens the philosophy of the win-win business model. We will continue to make progress against the main strategies implemented during first half 2023, which have show promising results, some of them exceeding our beginning of the year estimates. The strategies include among others, number one, product innovation. Newly launched products had a strong influence on our sales in the first half of the year, accounting for more than 12% of our total revenue. This demonstrates the success of our product development strategies and our ability to meet the changing needs and demands of the market. We will continue to invest in research and development to bring innovative products to the market and drive growth for our company. Our leadership in the fragrance category remains strong as we maintain our number one position in both sales value and volume. We are also working hard to regain market share in the color and skincare categories, which were impacted prior to the acquisition. By focusing on this area and continuously improving our products and strategies, we aim to further solidify our position as a market leader and continue to grow our business. We are currently undergoing a complete rebranding for JAFRA and we'll provide an update on our progress soon. Number two, business development. Our primary objectives are to enhance incorporation, retention and reactivation rates with a particular emphasis on grooming future leaders. We are revamping incentive programs and aligning them with current market trends while also adapting our product portfolio accordingly. Our commercial area is undergoing a restructuring process that aims to enhance our support to our sales team and promote alignment of vision and objectives. One of the desired outcomes is to expand our geographic coverage and nurture the development of a new generation of consultants and leaders. We believe we can improve our commercial effectiveness and ultimately contribute to the company's growth and success. Number three, technology. During May, 2023, our new app for consultants was launched and has been positively received by our sales force. We'll continue to incorporate new and enhance features to further improve their experience and productivity. During third quarter 2023, we will go live with our new chatbot to provide improved and automated assistance to our leaders and consultants, also resulting in savings for the company. Number four, operations. The integration of Betterware with JAFRA is enabling us to analyze and implement the most efficient practices for leveraging higher purchase volumes, and maximizing commercial conditions. This strategic approach is expected to significantly improve our profitability and cash flow generation. We will continue to work towards identifying synergies and implementing best practices to further enhance our business operations. As for JAFRA USA, in the first half of the year, we perform better than our expectations and are continuing to work towards completing our business transformation. Our primary strategies are centered around improving the incorporation, retention and reactivation rates of our consultants, as well as boosting their productivity and activity levels. These efforts are crucial to ensuring the long-term success of our company and achieving our goals. These strategies include among others, number one, product innovation. Together with JAFRA Mexico, JAFRA USA is committed to continually introducing cutting-edge products, aligned with the rapidly evolving beauty industry with special efforts to modernize the JAFRA brand while staying through to its heritage. Number two, digital marketing. We continue working towards increasing our brand awareness, engaging directly with our client base through digital communication to attract a broader clientele and subsequently elevate our e-commerce conversion rates, ultimately driving revenue growth. Number three, business development. We have designed a comprehensive approach to increase brand awareness and sales force engagement. That includes social and personal community outreach, regional events and growth incentivation. In JAFRA USA, we are focusing on supporting growth and expanding the influence of our leaders in five growth regions, California, Texas, Florida, North Carolina, and Illinois. Fourth, technology. In May, we started working on a new e-commerce and virtual office platform using Shopify. The revamped Jafra.com will elevate the overall user experience and empower our stakeholders with more effective tools to engage and transact on the platform. For the rest of 2023, JAFRA USA will continue to be focused on achieving its business turnaround with a strategist aim at improving the client and consultant opportunity and bringing stability to the business. I will now turn the call to Andres to discuss Betterware’s unit performance and our business strategies for the rest of the year.
Andres Campos: Thank you, Luis, and good morning to everyone. Thank you for joining us today. As we mentioned in yesterday's release, we are proud to share that the second quarter 2023 was the second consecutive quarter to post quarter-on-quarter net revenue growth, which confirms that our strategies are having a positive impact boosting our revenue and our network of associates and distributors. Our base of associates ended the quarter approximately in line with last quarter, while our end of period base of distributors grew 5% compared to the first quarter of 2023. As we have mentioned before, a growing base of distributors provides a platform to boost growth in our associate base going forward, which consecutively represent the base of continued growth going forward. We are confident that this positive trend will continue through the rest of the year. More impressively, in terms of profitability, we have demonstrated once again the flexibility of our company and the benefits of our asset light business model. For the quarter EBITDA increased 10% compared to the second quarter of 2022, expanding our EBITDA margin by 556 basis points, thanks to a 356 basis points gross margin expansion and increased operating leverage. For the first half of the year, our EBITDA margin expanded 221 basis points to 30.2%, due to positive results of our cost and expense control strategies. During the quarter, we have made great advances in the strategies we laid out since the beginning of the year. These strategies include: number one, product portfolio strategies. In April, we recovered most of our core concepts that we needed to gain back after pandemic shift in consumption. We also increased the number of SKUs in the catalog to 375 and expanded our catalog to 110 pages. During the quarter, we launched four new categories, Baby & Kids, Bedding, Hydration and Pets. Early signs are positive. With these categories combined representing 12% of total net revenues for the quarter. These four categories add to the two we have launched in the first quarter, namely Wellness and Cleaning Wipes. We will continue to launch new categories starting with Cleaning Consumables, which was launched in July 2023. Number two, catalog strategies. In addition to the new catalog design that we launched during the first quarter of 2023, in May we launched our new pocket catalog. This new version was greatly received by the market, allowing us to reach more associates as well as customers, increasing our monthly printed catalogs from 3 million to 4 million units per month. In terms of our digital catalog, in second quarter of 2023 we have 300,000 downloads, up from 58,000 in the fourth quarter of 2022. We will continue adding new functionalities to improve the customer’s overall experience in our digital catalog. Number three, sales strategies. We strengthen our sales strategy with the following two initiatives. First, we focus our incentive program on attracting new associates and distributors by boosting startup compensation as well as an approach to keep them buying from their first two catalogs. These strategies have already yielded positive results, mainly in terms of increasing our incorporation rates, both for distributors and associates. Second, we have also continued to strengthen our new sales staff strategy aimed at increasing face-to-face work with our distributors to motivate and train them, which has yielded very positive results in distributor retention and development. During the second semester of 2023, we will segment the country in 25 regions up from 10 currently to be able to leverage on this strategy and boost our geographic penetration. And finally, number four, operation strategies. In mid-June 2023, our semi-automated pick-and-pack Tower began operations with promising results. Our productivity has increased, although it is still too early to provide detailed results. We will continue to monitor our progress and provide updates on this front. On the other hand, we have successfully reduced excess inventories by MXN130 million during the first semester of the year, exceeding our targets for the year. Further and final reductions of excess inventories are planned over the next 18 months. Given these initial positive results, we are confident that as these strategies mature, they will lay down the ground for sustainable and profitable growth for the remainder of 2023 and beyond. Now, I will turn the call to Santiago, our new Chief Transformational Officer who will address his new role and strategic mission from here on.
Santiago Campos: Hello. Good morning, everyone. This is Santiago. My role as the Transformational Officer is to lead the company’s long-term commercial innovation actions, so the company continues to grow and become a main player in the categories and countries in which it plays. I am thinking and working at least five to 10 years ahead of time, thinking of industry evolution, about the future consumer, the future associate or consultant and the future distributor or leader. We believe that within the gig economy industry, our powerful model based on building great product brands sold through the power of social connections has an incredible future. As long as we keep evolving towards customer and sales force behaviors, needs and jobs to get done will evolve. Responsibilities for the transformation office include new ways of exploiting our current capabilities and developing new ones ranging from new channels like E-commerce 2.0, technological initiatives like artificial intelligence, international expansion, new categories, possible M&As and new revenue streams, also known as Engine 2 initiatives. All of this align with our commitment to creating opportunities for those who can and want to see them. I am confident that there is still huge value to capture and more value to create and we will fully commit to realizing it in the following years. Now, I will turn the call to our Corporate CFO to discuss our financial results for the second quarter and our expectations for the rest of the year.
Alejandro Ulloa: Thank you, Santiago, and good morning, everyone. I will now review our second quarter and year-to-date 2023 results. Please keep in mind that the currency I will refer to when reviewing our results and guidance is the Mexican peso, which is our functional and reporting currency. I will focus on the key highlights of the period considering that all additional details can be reviewed in our earnings release published yesterday. As mentioned by Andres and Luis, the Group’s results for the second quarter of the year were in line with our expectations with improving trends in the main operating metrics of each of our business lines. We’re proud of the progress attained during the period as our consolidated results demonstrate quarter-on-quarter improvements. For second quarter 2023, the company’s consolidated net revenue was practically in line with second quarter 2022. Jafra Mexico experienced a revenue growth of 14.5% as compared to the second quarter 2022. Consolidated gross margin expanded 368 basis points driven by higher gross margins in all the group subsidiaries due to improvements in supply chain conditions and input cost normalization. Consolidated EBITDA increased 16.6% compared to second quarter 2022, boosted by a significant profitability expansion in Betterware and Jafra Mexico, as well as a positive EBITDA contribution from Jafra U.S. Consolidated EBITDA margin for the quarter expanded 331 basis points to 22.3%, mainly due to EBITDA margin expansion in Betterware coupled with increased gross margin in all the groups subsidiaries. Consolidated net income for the quarter was MXN258.4 million, which reflects a decline of 10.7% compared to the same period in 2022. The decrease is mainly due to a 57.2% increase in interest expense related to debt acquired for the Jafra’s acquisition. Earnings per share for the period were MXN6.94. And as for free cash flow defined as cash flow from operations minus CapEx, we generated MXN755.7 million attributed mainly to an outstanding performance in Betterware and Jafra Mexico and a lower CapEx for the consolidated group. And for the first half of the year, consolidated net revenue increased 27% relative to first half of 2022 due to the inclusion of Jafra’s results for the entire period this year compared to only the part of the second quarter during 2022. Consolidated gross margin expanded 517 basis points to 73% compared to 67.9% in first half 2022 also explained by the inclusion of Jafra’s results during the entire period. Consolidated EBITDA for the first half of 2023 was MXN1,372 million, 16.1% higher than in first half 2022, boosted by Jafra’s inclusion to our results for the entire period, partially offset by lower operating leverage in Betterware. Consolidated EBITDA margin for the period contracted 200 basis points to 21.3%, mainly explained by Jafra’s lower EBITDA margin compared to Betterware. Consolidated net income for first half 2023 was MXN446.4 million, down 21.8% from MXN570.7 million in first half 2022, due to a 159.8% increase in interest expense related to the debt paid to fund the Jafra acquisition. Earnings per share for the period were MXN11.98. And in terms of free cash flow, we generated MXN1,305 million attributed mainly to positive performance in Betterware and Jafra Mexico coupled with lower CapEx for the consolidated group. We have been improving our cash conversion cycle on a regular basis. Along these lines, we already reduced Jafra Mexico’s inventory days from 135 in second quarter 2022 to 119 days in the second quarter of 2023, and increased its date payable from 70 to 94 days to align Jafra’s operations with Betterware best practices, which should maintain high cash flow generation going forward. As for our balance sheet, the company’s financial position remains strong and saw improvement on the quarterly basis. During the first half of 2023, we prepaid MXN1,250 million towards the syndicated loan used to acquire Jafra, reducing the outstanding balance to MXN3,249 million. On July 5, 2023, we successfully completed a bond issuance of MXN814 million via a two-trench offering. The first trench of MXN314 million is a four year variable coupon with an interest rate of 28 day interest rate plus 0.9%, while the second trench of MXN500 million is a seven year fixed coupon with an interest rate of 11.23%, both with full payment to maturity. On July 10, we utilized various financing sources to pay up the syndicated loan. These resources, including long and short-term loans, long-term fixed rate bonds, long-term variable rate bonds and cash. The refinancing of the syndicated loan led to a decrease in the estimated weighted average interest rate from 10.73% to 9.55%. Currently, long-term debt with a fixed interest rate represents 28.4% of the total leverage, while the remaining debt is at the variable interest rate with the option of prepaying it without incurring any costs. We released principal payment obligations for a total amount of MXN2,229 million in years 2024 to 2026. Specifically, the deferment of net principal payments amounted MXN262 million in 2024, MXN900 million in 2025 and MXN1067 million in 2026. In the second quarter of 2023, net debt for the company decreased by 17.7% compared to the same period last year, closing at MXN5071.6 million. Thus, the net debt to EBITDA ratio also decreased year-over-year to 2x in second quarter 2023 from 2.8x in second quarter 2022 and 2.2x in first quarter 2023. By mid-July, once we restructured the syndicated loan, our net debt to EBITDA ratio was 1.96x. These improvements demonstrate the company’s efforts to reduce debt and improve financial performance. In terms of dividend payments, our Board of Directors has proposed a dividend payment of MXN200 million for the quarter, which is subject to the approval at the ordinary General Shareholders Meeting to be held on August 9, 2023. For the rest of the year, we intend to continue paying growing quarterly dividends if the group’s results continue to improve as expected. Finally, in terms of our 2023 full year expectations, despite the uncertain and external environment, we continue to remain cautiously optimistic and encouraged by our first half results. We are reaffirming our previously provided guidance of consolidated net revenue in the range of MXN13,200 million to 14,200 million and our consolidated EBITDA in the range of MXN2,600 million to MXN2,800 million. As always, we remain focused on our long-term prospects and on our ability to capitalize on growth opportunities, which will allow us to generate strong cash flows and continue to maximize shareholders value. I will now turn the call over to the operator and we will take any questions you may have. Thank you.
Operator: Thank you. We’ll now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question is from Eric Beder with SCC Research. Please proceed with your question.
Eric Beder: Good morning. Congratulations on a solid quarter.
Luis Campos: Hi, Eric. Thank you.
Eric Beder: Hi. Could you give us an update on the potential for Betterware’s expansion into both the United States and into Central America? I know you’ve talked about potentially doing some of that this year or early next.
Andres Campos: Yes. Hi, Eric. This is Andres. So for the U.S., which will be the first that we will launch, we will finish to assemble the team by the fourth quarter of this year. And we’ll begin operations in the first quarter of next year, first quarter of 2024. Obviously, what we’re planning for is when we begin operations to do some pilot testing before we go full into sales. So we will begin this pilot test in the beginning, in the first quarter of 2023. And then once we’ve proved what we plan to do, then we will launch overall in the U.S. In terms of Latin America, we are still finally looking at two countries to start namely Peru and Columbia. And we will plan to start operations between the fourth quarter of 2024 and first quarter of 2025.
Eric Beder: Okay. And for a follow-up here, you’ve talked historically about having the debt ratio at 2x, and you’ve achieved that and you’re probably going to go a little bit below that. Is there a news, like [indiscernible] I mean, you’ve done a great job of reducing the overall debt, and obviously there’s more free cash flow coming. So is there another ratio we’re looking at here going forward for the overall debt? Thank you.
Alejandro Ulloa: Hello, Eric. This is Alejandro. Well, yes we have reduced it now to 2x net debt to EBITDA. Although, we have not established a specific target, we’re certainly expected to be slightly below 2x. So we’re expecting great results further. So yes, we will be concentrated on that. And yes, it will be slightly below 2x.
Eric Beder: Great. Thank you. Good luck for the rest of the year.
Alejandro Ulloa: Thank you.
Andres Campos: Thank you, Eric.
Operator: Thank you. Our next question is from Christina Fernandez with Telsey Advisory Group. Please proceed with your question.
Christina Fernandez: Hi. Good morning, everyone. I wanted to ask about the state of the Mexican consumer. How do you describe their desire to spend on home and beauty products? And particularly on the Betterware Home business, I wanted to ask about your view about the ability of that business to grow year-over-year in the second half of 2023. Your guidance would imply that there should be a significant acceleration. So any color there and your optimism, it’s helpful. Thank you.
Luis Campos: Yes, Christina. This is Luis. I will begin with telling you about Jafra in Mexico. The consumption is going well and we expect it to keep not really strong, but as it is now and our expectations are that with the product innovation we will introduce in the second half of this year, we'll attract more consumers because we are mainly focused on color and skincare where we lost market share in the years before, before the acquisition. Then with that, I think we will attract new customers to our base. This is what I have to tell about JAFRA. And I will let Andres to tell you about our expectations for growing in Betterware de Mexico in the second half in the home products.
Andres Campos: Yes. Hi, Christina, this is Andres. So, in terms of household products, I mean, you already know about the huge swings that we had in the past in consumption. We see consumption now normalizing in household products. So with that in hand, you've also seen that with our strategies that we've put together we are starting to see growth in Betterware. We have grown for two straight quarters, two consecutive quarters we have grown quarter-on-quarter revenue, and we do expect to continue this trend of continuing to grow quarter-on-quarter revenue in the third and fourth quarters of this year. So yes, we are positive that in terms of the market and the consumer, they have come back to normal consumption in household products. And with our strategies, we believe that we can gain more share within our market.
Alejandro Ulloa: And Christina, I would add that considering the trends now, our expectations is that we'll begin growing as compared to last year as we are projecting sometime in the second half of this year and end up the year very close to our original projections.
Christina Fernandez: Thank you. And then as a follow up, can you talk about the JAFRA for rebranding? I know in just to send your comments, you'll talk more in future calls, but at least sort of like the main stages and the timing of that rebranding. Did it already start in the second quarter or where – when should we expect most of that impact of the rebranding to be reflected?
Luis Campos: Yes, Christina, this is Luis. We were working for approximately three, four months on this rebranding during end of the first quarter and all the second quarter. And we launched this rebranding in our sales convention in Mexico, who was held in Cancun, Mexico like three weeks ago. And we also launched a week after that in our sales convention in Orlando for JAFRA USA. In both cases, reception was great by the people. Great and this is encouraging us to begin the process in the third quarter in order to base all of our graphic materials with this new brand with this rebranding. This is a link between the past and the future. This is more, this fits better for mature and young people. We are going to show it in our IR website once we obtain the confirmation of the registration before the authorities in the third quarter of this year. And from there, we will begin using it in our sales catalog, in all of our products, packaging, et cetera. Then this is really a very strong rebranding.
Christina Fernandez: Thank you.
Operator: Thank you. [Operator Instructions] There are no further questions at this time. I would like to turn the floor back over to Executive Chairman, Luis Campos for closing comments.
Luis Campos: Well, thank you for joining us today, and we look forward to speaking with you when we report our next quarter results. And meeting with many of you at upcoming investor conferences. We feel very proud and very good with our results in this quarter. Thank you all.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.